Operator: Good day, and welcome to the CSG Systems International First Quarter 2020 Earnings Announcement. [Operator instructions] Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Liz Bauer, senior Vice President, Chief Communication And Investor Relations.Please go ahead, ma'am.
David Banks: Thank you, operator, and thanks to everyone for joining us today. Our discussion today will contain a number of forward-looking statements. These will include, but are not limited to, statements regarding our projected financial results; our ability to meet our clients' needs through our products, services and performance and our ability to successfully integrate and manage acquired businesses in order to achieve their expected strategic, operating and financial goals. While these statements reflect our best current judgment, they are subject to risks and uncertainties that could cause our actual results to differ materially.Please note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise or publicly release any revision to these forward-looking statements in light of new or future events. In addition to factors noted during this call, a more comprehensive discussion of our risk factors can be found in today's press release, as well as our most recently filed 10-K and 10-Q, which are all available in the Investor Relations section of our website. Also, we will discuss certain financial information that is not prepared in accordance with GAAP. We believe these non-GAAP financial measures, when reviewed in conjunction with our GAAP financial measures, provide investors with greater transparency to the information used by our management team in our financial and operational decision making.For more information regarding our use of non-GAAP financial measures, we refer you to today's earnings release and our non-GAAP reconciliation tables on our website, which will also be furnished to the SEC on Form 8-K. In view of the current situation surrounding this pandemic and our work-from-home mandate, we are using a prerecorded script today. We will evaluate that policy going forward as conditions evolve. Once our prerecorded comments are complete, we will go to our live Q&A session as normal.With me today on the phone are Bret Griess, chief executive officer; Rollie Johns, chief financial officer; and Liz Bauer, chief communications and investor relations officer. With that, I'd like to turn it over to Bret.
Bret Griess: Thank you, David, and thank you all for joining us today. First, we hope that you, your family, friends and loved ones are all safe and well. It is heartbreaking to see what is happening to companies and individuals around the world as a result of this virus. Our hearts go out to all those who have been impacted by COVID-19.While CSG is not immune from the impact of this pandemic, we are so fortunate compared to so many. We provide business-critical solutions that help service providers acquire, monetize, engage and retain their customers. We do business with some of the largest and most well-established brands in the telecom, media and entertainment businesses. Our solutions are well entrenched in these companies' operations.We have long-term recurring contracts that provide us with over 90% visibility entering every year. Through our 35-year plus history, we've demonstrated that our business model is resilient and generate strong, predictable cash flow. We spend less than 4% of our revenues on CapEx. We have very low debt levels and access to more funding, if necessary.For us, and by that, I mean CSG and our shareholders, this means having a healthy balance sheet that provides us with strength and staying power during challenging times and lots of options during normal times. Rollie will review the financial results in more detail, but I'd like to call out a few of the key highlights. First, for the first quarter, adjusted revenue was $227 million. Non-GAAP earnings per share was $0.87, and our adjusted operating margin came in at 18.5%, significantly over our long-term guidance as a result of onetime items that Rollie will discuss in more detail.The structure of today's comments will deviate from past calls and that we are going to focus on near-term topics associated with the pandemic. While one never completely plans for a pandemic due to the dynamic nature, we had a robust crisis response plan in place that contemplated a situation like this, as well as many other situations. While you can never fully appreciate the vastness of such an event, having this plan in place allowed us to respond and make decisions that were in the best interest of our employees and customers in a very timely manner. Our No.1 priority is the health and safety of our employees. We're very blessed that we have not had one of our 4,400 plus employees die from the coronavirus, and the handful of employees that have tested positive have recovered. We began restricting travel in early March and issued a work-from-home mandate on March 16 for all nonessential employees. This applied to just over 90% of our 4,400 employees.Approximately 10% of the employees' work requires them to be physically present on site. These employees primarily work in our print and mail facilities. We are taking additional measures to protect their health and safety, including conducting additional sanitization and disinfection of our facilities, staggering shifts, conducting temperature checks before and after a shift and providing additional compensation for this group during this time. We're pleased to report that so far, our print and mail facilities have experienced minimal operational disruption.For the other 90% of our employees, we have not experienced a meaningful decrease in productivity. With a global organization, our teams are adept at working virtually, so this work environment was nothing new to them. Well, except for the increased responsibilities at home and an increase in virtual happy hours and our employees getting a little stir-crazy. This group has done a fantastic job embracing this new work environment.We believe that there will be more benefits than challenges to come out of this new working environment. One of our core values is to be customer-obsessed, and I have been in awe at the commitment and creativity that our employees have demonstrated during these unusual times. Next, let me share what we were seeing with our customers pre and post COVID-19. Up until about mid-March, business was performing in line with our expectations.We extended our long-term relationship with Mediacom, North America's fifth largest broadband and cable provider, for another five years. We helped launch a new digital brand offered by a major northern European communications service provider. We signed several new cable and broadband customers to our Visual Connect solution that I'll talk about a little later. And we were in the early stages of our implementations at clients that we signed new contracts with late last year.And then starting in about mid-March, while we continue to see strength in the majority of our business, we did start to see some softness in some parts of the business. For project implementations in the very early stages, we saw some slow-up as both CSG and our customers implemented work-from-home mandates. For our North American broadband, cable and satellite customers, it's fairly close to business as usual in the areas we're supporting. This makes sense as people are quarantined at home and Internet connectivity and video entertainment is considered an almost indispensable service during these times.For our global communication service providers, it's been mixed, depending upon where that operator is in their engagement cycle with us. For those who are early in the cycle, meaning they're in the implementation stage, we are seeing a slight slowdown in activity as both CSG and our customers adjust to the changes to our workforce and priorities. For those providers who are fully implemented, we're seeing an acceleration in conversations about our digital customer engagement solutions. If there is one thing that this pandemic has brought to the forefront of every company's business plan, it's the need for customers to be able to engage and interact with service providers without human or physical contact.Moving on. For our streaming service providers, this current environment is also mixed. You have some communications, media and entertainment companies that are doing well, and then you have some streaming provider whose primary product is live sports and events experiencing some declines. For our payments customers, the world was going well until the last two weeks of March when things began to slow.While our payments business has over 50,000 customers, they are mostly small to midsized companies and businesses. We do not serve the airline or hospitality and travel industries and are not feeling the impact that other global payments companies are. However, we are seeing some impact from different sectors. These sectors include child care, after-school and lunch programs and other retail establishments that once shelter-in-place orders went into effect saw their businesses decline.Finally, before I talk about what we have done to position for the future, I'd like to share with you how we have helped our clients stand up solutions in a very short time frame to help them address new ways to engage with their customers in a contact-less manner. Recently, we helped the Department of Labor to stand up an automated recording to their unemployment hotline to help manage the massive increase in calls related to jobless claims. Their call volumes grew from 8,000 to 8 million almost overnight. We were able to stand up our interactive voice solution and redirect 70% of the calls through an automated frequently asked question or FAQ recording to handle a significant amount of caller questions.This helped stabilize the government call center and allow labor agents to work more effectively. At its peak, our solution handled 300,000 calls in one hour and 1.7 million calls in one day. No human contact center could handle that volume of calls with so little notice. Next, with so many sheltering in place, more and more customers had questions or needed help with their broadband or cable service.This sudden spike in call volumes presented an impossible challenge for field technicians. To address this increase, several of our clients deployed our Visual Connect solution. This allows the consumer to use their smartphone camera to show technicians and agents what's going on with their set-top box or routers in their home, allowing issues to be resolved without having to send a technician to the home. Not only does this solution deliver a great customer experience, it keeps both the service providers, technicians and agents, as well as the end customer safe.Finally, a national pharmacy chain wanted to proactively let customers know what services were still being offered when the shelter-in-place mandates were announced. Many of these mandates differed by state and, in many cases, by city, requiring significant localization. Within hours, we created an outbound call campaign to 15 million pharmacy customers, about store hours and prescription delivery. The proactive response by this pharmacy helped create a great experience for the customer, while at the same time, reducing calls into the local stores.These are just a few examples of how our solutions are helping our customers respond to the changing needs that this pandemic has created. Moving on, I'd like to spend a little time talking about the actions we are taking to continue to position our company for success both this year and over the longer term. First, it's important to remind everyone that we are primarily a product platform company or a software-as-a-service provider. Therefore, we do not have tens of thousands of people on our customer sites developing custom solutions.That difference is serving us well right now, and I believe it will continue to position us even better as companies look to reduce their risk and dependency on heavy investments and resources. That being said, we're continuing to evaluate our investments and spend as we move to the new normal. At the beginning of the year, before this crisis even began, we extended our contract with our data center provider for another five years. This allows us to lower our cost and continue to modernize our platforms as we continue to scale and add more capabilities.Next, as a result of the pandemic, we have doubled our supply of paper and ink and accelerated the addition of certain printers to provide capacity in anticipation of a potential business disruption to our print and mail facilities. At this point, we're not seeing any major challenges from our supply chain, although we are monitoring this closely as we continue to add more staff in various locations and ensuring they have the equipment necessary to do their job.Next, speaking of adding more staff, we are evaluating the timing of these additions to ensure that they align with the needs of the business. While we're not seeing major productivity impacts as a result of the pandemic, we are increasing our scrutiny of the positions being added and being more conservative in our hiring of employees, so we have a better understanding of when this pandemic is going to end.Finally, Rollie will go into more detail about the levers that we have to continue to preserve and strengthen our balance sheet and liquidity position, so I will save that for him to review. Before I turn it over to Rollie, I have to say on a personal note, I feel extremely blessed to be leading a company at a such resilient business model with an increasingly diverse set of customers, served by an amazing group of employees. We don't have any idea how long this pandemic will last, but we are very fortunate that, so far, the disruption it has caused has been minimal compared to what others have experienced. For that, I'd like to thank the current and past employees and leaders of CSG who created an amazingly strong and resilient company.With that, I will turn it over to Rollie to review our financial performance and guidance for the remainder of the year, as well as provide additional context around our balance sheet and liquidity.
Rolland Johns: Thanks, Bret, and welcome, everyone, to the call today to discuss our financial results for the first quarter and our revised outlook for 2020, including the expected impact related to COVID-19. Notwithstanding this truly unfortunate pandemic, we had a better-than-expected start to 2020. As Bret mentioned, while we're not immune to the impacts of this event, we have a strong business model that we believe is resilient and will allow us to successfully navigate these coming months. So let's walk through our financial results.We reported GAAP revenue of $246 million for the quarter, up slightly year over year. Non-GAAP adjusted revenue, which excludes transaction fees, was $227 million for the quarter, essentially flat year over year. These revenue results, while impacted in part by our recently extended Comcast contract, are consistent with expectations. Due to the highly recurring nature of our business model, driven chiefly by long-term contracts with enterprise-level clients, we saw a little direct impact from COVID-19 in our first-quarter results.We did, however, start to see some lengthening of sales cycles and implementation cycles on previously signed contracts. We have factored these observed changes into our guidance for the remainder of the year. Moving on, our first-quarter non-GAAP operating income was $42 million or 18.5% of non-GAAP adjusted revenue. While it's not uncommon to see adjusted operating margins above our long-term target range of 16% to 18%, this quarter's result was primarily benefited by a mark-to-market reduction in the compensation liability that resulted from the unexpected and steep decline in the stock market in the first quarter.Non-GAAP adjusted EBITDA was $55 million for the quarter, up slightly year over year and representing 24% of non-GAAP adjusted revenue. Non-GAAP EPS for the quarter was $0.87, up 6% compared to the first quarter last year. Our non-GAAP effective income tax rate was approximately 27% for the quarter. Moving on to the balance sheet and cash flow.We ended the quarter with $131 million in cash and short-term investments. This is typically our lowest quarterly cash level of the year as we make management incentive and commission payments during the first quarter, with this year's payout reflective of our solid 2019 performance. Operating cash flow for the quarter was negatively impacted by the timing of two key client payments totaling approximately $33 million that were delayed and received shortly after quarter-end, resulting in a cash flow deficit of $7 million for the quarter. After including capital expenditures of $5 million for this quarter, free cash flow was also negative by $12 million.In addition, we paid $8 million in dividends and repurchased $6 million of common stock under our stock repurchase program. So before I move on to guidance, let me spend a few moments discussing our liquidity, our current leverage structure and our intended use of cash going forward in light of COVID-19. As Bret said, we are grateful to have a highly predictable cash flow-generating business model. In addition, our balance sheet is healthy.As I stated earlier, at the end of the quarter, we had over $130 million in cash and short-term investments with an additional $200 million available on our committed and undrawn line of credit. In addition, we have $365 million of total debt, representing less than 50% of our total capitalization. We continually review our capital allocation options to ensure a sufficient level of liquidity to run our business. We also continue to balance our use of cash and return on invested capital by focusing on the following areas: internal investment, return to shareholders and inorganic growth opportunities.During first quarter, we repurchased approximately 142,000 shares under our stock repurchase plan. In early April, we suspended that plan as a prudent step to ensure maximum liquidity during this period of uncertainty. We will continue to monitor and reassess our share repurchases as the breadth and depth of the impact of the COVID-19 pandemic becomes clear. So moving on to our updated financial outlook for 2020.Our strong, predictable business model gives us confidence that we can continue providing guidance even in the environment we find ourselves in today. That said, we will closely monitor the economic impacts on our business, our clients and, more broadly, our industry as this uncertainty persists.Given this increased uncertainty and the potential impact on future bookings for the remainder of this year, we have adjusted our revenue range to a new range of $960 million to $1 billion with non-GAAP adjusted revenue, excluding transaction fees, in the range of $891 million to $924 million, about a 3% adjustment when compared to our prior ranges. While we currently believe the vast majority of our business will remain unaffected or only minimally affected by the economic slowdown driven by the COVID-19 pandemic, we do see pockets of risk in the anticipated growth in specific areas of our business, such as payments and managed services.Additionally, because sales and implementation cycles have lengthened, there is the potential for some revenue that we might have recognized early in 2020 to now be pushed later in the year with some new contracts that may not allow for revenue recognition until 2021. In setting our revised revenue guidance, we have also considered anticipated foreign currency headwinds based on recent movements against the strengthening U.S. dollar. That said, due to the natural hedging within our business, we anticipate that these foreign currency movements will not have a material impact on our operating margin.Speaking of operating margin, we believe we can retain our non-GAAP adjusted operating margin within the range of 16% to 16.5%, still within our long-term target range of 16% to 18% and at the low end of our previously expected range of 16% to 17%. Based on the fact that we are primarily a product platform provider, roughly 25% to 30% of our expenses are variable in nature, with the majority of the remaining expenses tied to our workforce. We anticipate some cost savings due to restricted travel and slowed hiring. In addition, we will continue to monitor the pace at which we add staff to align to our business needs over the next 12 to 24 months.Moving on, we now expect adjusted EBITDA in the range of $198 million to $208 million, with non-GAAP EPS in the range of $2.87 to $3.10. This expectation is based in part on a non-GAAP tax rate of approximately 27% and a share count of about 32 million shares for the year. And finally, we expect a range for our operating cash flows of $110 million to $135 million, dialing down our previous range by $20 million on both the high and the low ends. While we remain confident in the fundamentals of our business and our ability to generate strong cash flow from operations, this revised range is primarily predicated on the potential for timing delays around our client receivables, as witnessed at the end of this quarter.Our CapEx range remains at $25 million to $35 million. So that concludes my remarks on our updated guidance. In summary, we are pleased to deliver a solid quarter of results to the start of the year. We, like so many companies, are dealing with the challenges invoked by this worldwide pandemic and its economic follow-up but believe, because of the hard work and dedication of our employees and our strong business model, we are resilient and will be even stronger when we come out on the other side of this.And with that, I'll pass it back to Bret for some final thoughts.
Bret Griess: Thanks, Rollie. Once again, I'd like to thank everyone for your time today. I think it is important to end our prepared remarks where we started. While we are not immune from the impact of this pandemic, we are so fortunate compared to many.We provide business-critical solutions that help service providers acquire, monetize, engage and retain their customers. We do business with some of the largest and most well-established brands in the telecom, media and entertainment business. Our solutions are well entrenched in these companies' operations. We have long-term recurring revenue contracts that provide us with over 90% visibility entering every year.We are not a capital-intensive business, and we generate lots of cash and do so with little debt. We don't believe the world will go back to how it operated pre-COVID-19. However, we do believe we are well-positioned to rebound in the new normal that calls for innovation and customer engagement and interaction. With that, we'll turn it over to the operator for your questions.And we'd ask that you limit your questions to two at most so that we could ensure we get all of them for the duration of the call.
Operator: [Operator instructions] We will take our first question from Greg Burns with Sidoti.
Greg Burns: Good afternoon. So I just wanted to kind of better understand the size revenue guidance. Coming through [indiscernible] logic of it or --
Liz Bauer: Greg, you're cutting in and out.
Greg Burns: Okay. Sorry. Sorry, my connection is bad. But I just want to understand the revenue guide -- the adjustment in the revenue guidance, where is the majority of that coming from? Is it from existing customers delaying projects? Or is it from new customers not being -- delaying project decisions?
Bret Griess: Yes. Absolutely. I think I got that right, Greg. The question that you asked was with the revenue coming down from the new guidance, what was causing that.The primary reason for it is the fact it's about a $30 million reduction from our February guidance or roughly 3% of that overall GAAP revenue guidance is what we see right now in the marketplace, and think that we're at a pretty stable point with that. We normally generate about 51% of that revenue in the second half. So we'll continue to see that play out. But we do have good insight into it.The primary actions that we're seeing now is along the lines that our visibility stays in place, but we are seeing a little bit of the projects that are new stage taking a little bit longer to get off the ground. We've even had projects that traditionally would have been done with face-to-face meetings that are delayed slightly because of some of the online activity for kicking off projects in that front. So it's primarily around project delays. We see projects that were signed at the end of last year that are going full steam ahead.We see some of the projects like the activities that we talked about with some of the new solutions that are out there that are going full steam ahead. But we're seeing some slight project delays as customers think through their own liquidity. And then we also have some with the payments industry, as we mentioned in the prepared remarks, where a portion of that has been impacted. But overall, we're feeling very good about that 3% decrease in the revenue guidance.
Greg Burns: Okay. And in terms of the payments, what volume declines are you expecting on that side of the business?
Bret Griess: We had a lot of concern early on about that with this fairly global shutdown of economic activities you go through. But what we saw was a lot less than we're seeing in other parts of the payment industry because of the fact that we don't have a lot of influence or we don't have a lot of solutions in the travel and in the food service environment. So we were less than what we were seeing in other payment space. And as we track those very closely, it's kind of -- we've been happy to see that in the last two weeks or so, it's starting to come back up.So way less than 30% at this given point in time, and we see that improving as the economy start to move and people start to work in the new way.
Greg Burns: Okay. And if I could just squeeze one more in, on the Mediacom deal, was there any price concessions? Like what were the terms of that deal, and was it like similar to Comcast or maybe a little more favorable pricing?
Bret Griess: There is almost always puts and takes whenever we go through a renewal cycle. Mediacom is a great customer of ours, and they've been a long-term customer and just incredible people to work with as we go through that. So there are puts and takes there. Of course, they're not the size of Comcast, but we try to treat everyone in a fair way.So there were some very good, healthy dialogue and discussions around the renewal, and we feel like they got a very fair deal, and we got a fair deal. We don't disclose the specifics because they're not at the size of some of the larger ones.
Greg Burns: Okay. I guess can you share if there was, I don't know, price concessions? Or was it at similar historical pricing? Or was...
Bret Griess: There were definitely price concessions for components because there's always components in the solution that goes through there. I would tell you that it was similar or less than we see with our larger customers, but right in the neighborhood. And the benefit -- it's always a win-win solution is what we're working for in that process, and the benefit for us in giving that back is a long-term insight into that relationship and into the revenue so that we can manage our costs accordingly with that.
Operator: The next question from Zach Silver with B. Riley FBR.
Zach Silver: Okay. Great. Thanks for taking my question. The first one is just on primary end customers -- end customers in the U.S. have seemed to hold up pretty well through the pandemic, but certainly not without impact. Can you talk about whether you're seeing any changes in their IT budgets coming from these customers or your expectations for those longer term? And then on the international side, less familiar items for us, but maybe give us a sense of how those customers are faring in this environment.
Bret Griess: Yes. Thanks for the question, Zach. I believe it was around what we're seeing with the spending habits within the IT departments and other parts of the organization. And then also if it's different from a global basis as we go through that.It varies. Again, as I said before, puts and takes that are happening in different areas of the business. To date, I don't see material or huge changes in behavior because a lot of the systems that we're dealing with in the BSS space are delivering solutions to help them to solve their most difficult challenges that they've got out there. That's why our business model is so beautiful to help to weather this storm as we go through it.And we, along with them, are working incredibly hard to think ambitiously but proceed with caution as we go down that path. However, I don't want to be Pollyannaish. We are seeing in EMEA and APAC that our revenues are down as we go through it. We don't see it to be hugely material at this time.But again, these are very uncertain times, and we're going to know more tomorrow than we know today. But in EMEA, the revenue is basically in line with what the last quarter was and where we anticipated it to be as the new contracts that we signed in the latter part of the fourth quarter are still now in the early stages of implementation as we go through that, things from our MTN project to our telecom South Africa projects and that kind of thing not being repeated. And in APAC, it's down. We think that that's a result of the softness in that market.We've seen that over the past few quarters, so we don't directly correlate it to COVID-19 at this point. We'll continue to watch it. I think that people are all being a little more thoughtful in their spend as they go through it. But again, with the revenues being 3% or less down, we don't see a major material change like so many we're seeing during this crisis.
Zach Silver: Got it. That's helpful. And then one more, if I could, just on the updated guidance. It looks like the midpoint of the new EBITDA range is that 7% below the prior guide, but free cash flow guidance is much less than that at around 25% down.I think, Rollie, in your prepared remarks you mentioned that timing was an issue there. So when we think -- I know you don't guide for 2021, obviously, yet, but when you think about next year, if it's truly a timing benefit, would you expect that free cash flow -- the reduction in the free cash flow guidance to be more in line with the EBITDA?
Bret Griess: Absolutely. And I'll let Rollie speak to that one also, is that the free cash flow from a timing perspective is everybody is watching their liquidity. And we've seen that in the past with different customers. It's usually a couple of days, but there is nothing intrinsic that has changed in our business based upon these activities.There's nothing intrinsic that has changed in our contracts, which is why we see that solely from a timing perspective there. Rollie, do you have other perspectives on that?
Rolland Johns: No, I'd echo that as well. Like Bret said earlier, we don't have a real capital-intensive business. So when you take CapEx out of it, you look at our operations, the fundamentals of our cash flow generation are still sound. Essentially, when we brought down guidance was concerns around working capital fluctuations that were predominantly outside of our control pretty much as we witnessed this quarter with payments coming in later than anticipated and later than due.
Operator: [Operator instructions] We will take our next question from Tom Roderick with Stifel.
Unidentified Analyst: Hi. It's actually Max Osnowitz online for Tom. First, I was just curious if when we think about the accelerating demand for new streaming services and appetite for OTT how Ascendon's fitting into the world, and if you guys are able to kind of monetize it better where more independent streaming providers are going up against the cable MSOs, or if it's better to just let the Ascendon usage -- the cable customers lead the way.
Bret Griess: Well, first of all, welcome, Max. Glad to have you on the call with -- or for Tom. We appreciate you being here and asking the question. As far as how Ascendon fits into it and OTT and where it's going, as I mentioned in some of the prepared remarks, the OTT players, what we're seeing is puts and takes as far as you see it on the news and maybe even in your own personal life, where people are watching more of the OTT activities as it goes forward.And then you also see areas where there are major sporting events that would use it where they're impacted negatively as we go through that. On the whole, what we see is a level of acceleration happening to digital transformation. And we have the solutions that can help with that digital transformation. Ascendon is one of them.Singleview is one of them. ACP is one of them as we go through our set of solutions that are out there. And they're all very important to help with that digital transformation. And like so many are seeing, I can't even imagine this type of a crisis happening 15 years ago with flip phones and dial-up connectivity.What we're living through today is really leading to this very important digital transformation, and the event has just accelerated it. And our solutions are helping to support that. And we have had more interest in Ascendon as we've gone through this. Again, we're in a lot of uncertainty with the puts and takes, but it's been -- our investments historically have positioned us well to be an important part of that digital transformation that's occurring at our customers.
Unidentified Analyst: Great. And then just to follow up on that, with respect to the lowering of the full-year guide, I know you've mentioned a couple of things. But is there any way that we should consider splitting that reduction out between the software services and the processing rates?
Bret Griess: Rollie, do you want to take that one specifically?
Rolland Johns: Yes, sure. If you think about -- and this kind of harkens back to an older presentation where we've split our revenues between cloud, software services and maintenance. As you think about the guidance reduction Bret touched on, we see some headwinds around payments. That goes into that cloud and related services line item.Also, as it relates to headwinds from delayed implementations and the like, that's more impactful and along the lines of our software and service revenue streams.
Operator: [Operator instructions] We have no further questions at this time. I would like to turn the conference back to your host for any additional or closing remarks.
Bret Griess: Well, thank you very much to everybody for being on the call today, and again, we send our best wishes to everybody and the year extended for health and wellness as we go through this time of great uncertainty. And CSG just strongly is grateful for the fact that we provide investors with less risk compared to other companies during this time based on the strong, resilient business model with predictable and visible revenue streams and cash flows.And I never end one of these calls without saying thank you to our incredible employees that have really gotten focused in their attention on solving our customers' toughest problems. So thank you for all you do out there to everyone that's a stakeholder in CSG. Have a great rest of your day.
Operator: That concludes today’s presentation. Thank you for your participation. You may now disconnect.